Operator: Good morning. Thank you for joining us for the Stereotaxis’ Fourth Quarter 2017 Earnings Conference Call. Certain statements during this conference call and question-and-answer period to follow may relate to future events, expectations, and as such, constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Such statements involve known and unknown risks, uncertainties and other factors which may cause the actual results, performance or achievements of the company in the future to be materially different from the statements that the company’s executives may make today. These risks are described in detail in our public filings with the Securities and Exchange Commission, including our latest periodic report on Form 10-K or 10-Q. We assume no duty to update these statements. At this time, all participants have been placed in a listen-only mode. The floor will be opened for questions and comments following the presentation. As a reminder, today’s call is being recorded. It is now my pleasure to turn the floor over to your host, David Fischel, Chairman and CEO of Stereotaxis. Please go ahead.
David Fischel: Thank you, operator. Good morning, everyone. I’m joined today by Marty Stammer, our Chief Financial Officer. I hope you all had an opportunity to review the two press releases we shared this morning: one, describing our financial results; and other, describing our raising $10 million in a non-dilutive financing by inducing the early exercise of outstanding warrant. I’ll speak to the financing in my prepared remarks. But given that this is our annual call, I want to first use the occasion to provide a broader overview on Stereotaxis, our vision and goals, our accomplishments in 2017 and our focus in 2018. Following our prepared remarks, we look forward to opening the line to your questions. Stereotaxis has developed and is commercializing a suite of robotic technologies that enable better treatment of cardiac arrhythmias. Cardiac arrhythmias are common condition, where the heart beats irregularly. Tens of millions of individuals in the developed world suffer from arrhythmias, prevalence is growing rapidly, and when left untreated, arrhythmias increase the risk of stroke, congestive heart failure and sudden death. The primary therapies prescribed to arrhythmia patients include pharmaceuticals, implantations of pacemakers, ICDs and cardiac ablation procedures. Cardiac ablation refers to a minimally invasive procedure, where a catheter is introduced into the vein in the upper leg of a patient and then snaked up several feet into the heart chamber. The tip of the catheter delivers a blade of energy to specific parts of the heart muscle to stop rogue electrical impulses that are causing the arrhythmia. Cardiac ablation has become a widely accepted therapy over the last two decades with approximately 850,000 global cardiac ablation procedures performed annually and over $4 billion in annual sales of medical devices. The clinical value of cardiac ablation was most dramatically demonstrated in a publication in The New England Journal of Medicine last month in which patients randomized to cardiac ablation dies 46% reduction in mortality at three years versus those placed on best pharmaceutical therapy. While traditional manually operated cardiac ablation procedures provide significant clinical value, they have inherent limitation. In order to move a manual catheter, physicians apply force with their fingers on to the base of the catheter in order to move its tip. To translate force from the base to the tip, manual catheters require internal pull wires and rigidity along this catheter shaft, which limits the catheter’s precision, reach and stability and can cause safety issues in sensitive anatomy. The reliance on x-ray for visualization exposes patients and physicians to radiation. And finally, these procedures are difficult and complicated and require significant skill to perform. The technique of navigating a manual catheter is akin to gardening delicate flowers by holding a hose from its base or writing in small font holding a pencil from the eraser. Stereotaxis’ robotic mechanism of action fundamentally transforms the experience of catheter navigation. Our products include a robotic magnetic navigation system composed of two magnets next to the operating table on which the patient lies. During the procedure, a physician sits behind a large screen computer controlled station and using a mouse and intuitive interface, manipulates those magnets to adjust the magnetic field around the patient. This allows a physician to precisely direct and steer the cardiac ablation catheter that has a magnetic at its tip. By moving the catheter directly from the tip, a robotic magnetic catheter has unprecedented reach, precision and stability. Since we do not rely on pull wires or shaft rigidity, we can design catheters that are very gentle like a piece of cooked spaghetti and far safer when moving in delicate anatomies. The benefits for patients and physicians are multiple fold. Unmatchable catheter precision, reach and stability enables the treatment of complex arrhythmias that can otherwise not be treated at all or cannot be treated well with manual catheters. Robotic precision helps ensure that therapy is delivered effectively to the right target tissue. The gentler magnetic catheter reduces the risk of perforations and other adverse events improving patient safety. Radiation exposure per patient is reduced as the physician’s reliance on x-ray for navigation decreases. Physicians perform a robotic procedure, seated, un-scrubbed, protected from radiation with all the procedure information on a large screen in front of them and all the controls over the procedure at their fingertip. This allows them to focus on the design and delivery of therapy rather than the mechanical manipulation of a catheter. They do so from an ergonomic, comfortable position with reduced dependency on staff and with improved personal safety and career longevity. The long-term safety risk for physicians performing non-robotic manual interventional procedures is significant, with a study showing 49% suffering orthopedic injury as a direct result of their work and 85% of brain tumors in interventional physicians being found in the left side of the brain as opposed to the right side, as the physician usually stands with their left side closer to that resource. These benefits of robotic cardiac ablation are not theoretical. They have been demonstrated extensively in the real world experience of hundreds of physicians at over 100 leading hospitals treating over 100,000 patients with our technology to date. As part of our recent 100,000 procedure milestone, we have been showcasing and celebrating the physicians and hospitals that helped us reach that milestone. I encourage you to visit our website and social media pages to browse the several dozen physician profile showcase to date. It’s an efficient and effective way to corroborate the very benefits robotics provides to their patients and practices. The benefits of robotic ablation have also been demonstrated with scientific rigor in hundreds of peer-reviewed publications. Last year was particularly successful in increasing our clinical validation, both measured by quantity and quality. A few data points. 37 clinical publications showcased the value of our technology in 2017, up from 22 in 2016 and 19 in 2015. An independent meta-analysis published in the September issue of The Journal of Interventional Cardiac Electrophysiology compared 779 Ventricular Tachycardia Patients treated with Stereotaxis robotic technology to manual catheters. The results showed clinically meaningful and statistically significant benefits for robotics across the trifecta of efficacy, safety and efficiency, including a 39% lower risk of VT recurrence, a 65% reduction in complication and shorter procedure times. The European Heart Rhythm Association recently published a consensus document on the occupational risk of radiation for electrophysiologists and identified our technology and its recommendations as allowing near zero exposure to operators. A press release we shared on February 1 provide significantly more information on the topic. In a recently completed clinical evaluation report, an internal systematic review of all peer-reviewed publications prepared for regulatory purposes, Stereotaxis robotic technology reduced major complication rates by 62%, minor complications by 43%, and patient radiation duration by 31%. We’re working on ways to ensure this dramatic data is more readily available to patients, physicians and the broader community. We’re also progressing on a randomized, well-designed, prospective MAGNETIC-VT trial to corroborate our superiority in VT. We entered 2017 with only 14 patients enrolled, but just randomized our 100 patients and have seen a significant increase in enrollment in recent months. When I joined Stereotaxis a year ago, I recognized these fundamental core strength, a highly sophisticated and differentiated robotic technology that has been extensively validated and that provides clinical benefits to patients and physicians in a very large growing market. That set up is a solid foundation for our vision of Stereotaxis revolutionizing electrophysiology and being the preeminent robotic company across endovascular surgery. I also recognized that Stereotaxis was a company with significant challenges. Initial missteps within aggressive premature commercialization, poor allocation of financial and human resources, limited engagement with partners and potential partners in the industry, and the lack of a clear innovation and commercial strategy that Stereotaxis in need of a turnaround. Our three key areas of focus last year were financial discipline, improved commercial execution and reinvigorating Stereotaxis’s commitment to innovation and collaboration. I’m proud of our substantial progress along all three of these. In the three quarters of 2017 since joining Stereotaxis, our operating expenses were on average 19% lower year-over-year, an annualized saving of approximately $5.9 million. The reduction in operating expenses continues to reflect the year-over-year impact of lower executive compensation and more efficient management of expenses across the organization, but does not represent any material changes in organization’s personnel, infrastructure or capabilities. I’m confident that the reduction in expenses did not cut Stereotaxis’ muscle. On the contrary, we reduced expenses, while being much more active, nimble and effective in a broad range of commercial and innovation initiatives. I expect operating expenses to grow modestly, as we advance our innovation initiatives in 2018. But I’m comfortable that with continued vigilance, we’ll maintain a relatively low burn rate and with our strengthened balance sheet, we can advance our initiatives and reach profitability without the need for additional financing. From a commercial perspective, our overarching goal is to ensure our physician customers have successful growing robotic ablation practices. Having successful robotic practices that attract patients, capture market share in their region and showcase the clinical and commercial benefits of adopting robotics creates an environment for significant adoption of our technology. We have a well-defined multi-pronged strategy here categorized into six fields: effective physician training, good procedure support, tools to drive physician practice growth, tools to generate patient demand, building physician relationship and supporting impactful clinical literature. Highlights of this past year includes support for the successful establishment of a global physician society for cardiac robotic navigation, creatively enhancing our clinical support capabilities, recruiting the first participants in what we expect to be a robust robotic ablation fellowship program, reinvigorating our social media presence through the celebration of our 100,000 procedure milestone and a marked increase in the quality and quantity of peer-reviewed publications detailing the clinical benefits of our technology. The early impact of these commercial efforts are evident in the accelerated procedure growth shown in the quarter and in the annual procedure growth, which represents a positive reversal of a multi-year trend. We’re just in the first innings of these commercial efforts and have an extensive list of projects being worked on as we speak. From an innovation perspective, Stereotaxis cannot, on the one hand, rightfully tout robotics as a cutting-edge of medicine, while on the other hand, avoid meaningful innovation. Our technology also works in an ecosystem with others and thus collaboration is crucial. I believe we are doing well in reinvigorating Stereotaxis’ commitment to innovation and collaboration. We have identified and are advancing a strategic innovation plan that addresses each of the five core technologies utilized in a robotic cardiac ablation procedure. Our robotic magnetic system, the magnetic ablation catheter software that allows for intuitive navigation, the cardiac mapping system and the philosophy system. The three guiding goals of our innovation plan are improving patient care, physician choice and technology availability. The right innovation plan can provide these benefits to patients, physicians and hospitals, while also improving Stereotaxis’ opportunity. And I believe, we have a plan that is elegant in both medically and commercially sound. Importantly, it also reflects the realities of what can be achieved internally with our resources and what we believe potential collaborators are open to working with us towards. While realization of the various aspects of the plan will play out over the coming years, we do expect it to meaningfully contribute to revenue in 2019 and beyond. The details of the innovation plan will become clear over time as it becomes appropriate to provide additional disclosures. I’ll now pass the call over to Marty, who will discuss the fourth quarter financial results in more detail.
Martin Stammer: Thanks, David, and good morning, everyone. Revenue for the fourth quarter of 2017 totaled $7.6 million, up from $7.3 million in the prior year quarter. Recurring revenue was $6.9 million in the quarter, up 7% from $6.5 million in the prior year quarter. Recurring revenue benefited from a 7% year-over-year growth in global procedures, with all major geographies contributing to the acceleration in procedure growth. Recurring revenue for the full-year 2017 of $26.9 million represents a 2% increase above the $26.4 million recorded for the same period in 2016. Procedures for the full-year 2017 grew 3% over the full-year 2016, the first year of annual procedure growth since 2012. System revenue in the fourth quarter was $600,000, down from $800,000 in the prior year quarter. System revenue of $4.3 million for the full-year 2017 was down from $5.8 million in 2016, primarily reflecting the expiration of an Odyssey distribution agreement and the timing of Niobe system installations in 2016. In the fourth quarter of 2017, Stereotaxis recorded a non-cash inventory-related charge of $3.8 million to systems cost of goods sold. Including this charge, gross margin in the quarter was $2.2 million, or 29% of revenue versus $5.3 million, or 73% of revenue in the fourth quarter of 2016. Excluding the non-cash inventory-related charge, gross margin for the fourth quarter 2017 would have been 80%. Operating expenses in the fourth quarter were $5.9 million, down 20% from $7.4 million in the prior year quarter and down 2% sequentially from $6.1 million in the third quarter. Operating loss in the fourth quarter was $3.7 million, compared to $2.1 million in the prior year fourth quarter. Excluding the non-cash inventory-related charge, the company would have shown an operating profit of $100,000. Net loss for the fourth quarter of $2.6 million includes $1.2 million of mark-to-market warrant revaluation income. Excluding the mark-to-market warrant revaluation income and the inventory-related charge, the company would have reported net income of less than 100,000 for the quarter. Cash burn for the fourth quarter was $800,000. Cash burn for the full-year 2017 was $4.8 million, of which $2.7 million was from the first quarter of 2017 and the remaining quarters of the year averaged the cash usage of under $700,000 for the quarter. This cash usage for the 2017 full-year does not include the receipt of any cash from Niobe system sales and compares to a cash burn of $7 million in 2016. At December 31, we had cash and cash equivalents of $3.7 million and no debt. We announced this morning that we raised $10 million by inducing the early exercise of already outstanding warrants. On a pro forma basis, including the capital from the exercise of these warrants, Stereotaxis would have had $13.7 million in cash and cash equivalents and no debt as of the end of 2017. I’ll now hand the call back to David.
David Fischel: Thank you, Marty. Before opening the call to Q&A, I want to make a few comments on the financing announced this morning. First, I’m grateful for the continued support and enthusiasm of our shareholders and Board members. The additional capital from these warrant exercises in combination with our already debt-free balance sheet and more prudent management of operating expenses places Stereotaxis in a most stable financial position it has enjoyed in many years. Stereotaxis is now in a strong financial position that allows us to deliver on our commercial and innovation initiatives over the coming years and reach profitability without the need for additional financings. From a structural perspective, I believe we found an elegant solution to raising capital by inducing the exercise of warrants over 3.5 years prior to when they were known to be exercised. This structure allowed us to avoid dilutive financing and to bring in sufficient capital now when it is highly useful without any incremental dilution to our fully diluted capital structure. The warrant exercise and amendments also represent a natural story first step on our path towards relisting on NASDAQ by removing the warrant liability from our balance sheet. The long-term 18 months lockup agreement entered into by the warrant holders reflect their commitment to the long-term success of Stereotaxis and believe in our long-term promise. That concludes our prepared remarks. Operator, can you please open the line to questions.
Operator: Thank you. [Operator Instructions] Today is from Paul Nouri from Noble Equity.
Paul Nouri: Hey, good morning.
David Fischel: Hi, good morning, Paul.
Paul Nouri: On the reusable revenue line, you had a pretty good step up from prior quarters. I’m just wondering if you can build upon that in 2018, or if there were any one-time items in the fourth quarter?
David Fischel: So in the fourth quarter, there were definitely no one-time items, I think, I even looked into, are there any other explanations for the growth? There was one extra selling day in the fourth quarter of this year versus the fourth quarter of last year, but that’s about 1% or 1.5%, I think of delta. Outside of that, there was no other items that could explain this growth in procedures or recurring revenue. So it was overall, an exciting quarter for us to see that type of a growth after obviously many years of not having any growth at all. I – kind of as we go into 2018, I think, we have definitely tailwinds in terms of the progress of these commercial initiatives, I think it’s become more fully out there and as we implement more of them. I know, we probably also have some headwinds. There’s a few sites that are high users of us that will be moving their systems over the course of the year. I think, in the past calls, I mentioned that, typically, there’s a replacement cycle for EP labs. And during those periods, our sites get moved and our systems usually down for a couple of months or a few months. So I know we have a few of these that are taking place over the course of this year that are a little bit of a headwind. But otherwise, there was nothing abnormal in the fourth quarter results and there’s nothing out that kind of I see as a real headwind from a procedure perspective.
Paul Nouri: Okay. And I think as part of your strategy going forward, you talked about greater doctor training, was that already in place in the fourth quarter, or are these steps that you’re going to take in 2018?
David Fischel: These are all gradual incremental improvement. And so I would say that, most of what you see in the fourth quarter is really kind of the initial steps of us being more active, engaging more with our customer partners and not yet the impact of structural improvements that are kind of reflected across the organization. As an example, we actually just had about a month ago in Las Vegas trading event for ventricular tachycardia. We had about 18, I believe, participants who flew into Las Vegas to do that event. It was very successful and we’ve seen the impact of it even after that. And so overall, I don’t think that you saw some of the improvements in training in the fourth quarter. I think, those are things that will be implemented over time.
Paul Nouri: Okay. And then what should we think about the diluted share count approximately? I mean, I know there’s some things to take into account like options. But I guess, it should be a bit simpler now, the warrants being exercised. Is that around 90 million or 95 million or am I off?
Martin Stammer: I can take that, Paul. So that’s very close, but probably a little low. So we have about 23 million share – common shares outstanding as of 12/31. With the warrants exercised, that would provide another 36 million outstanding, which gives us fairly close to 60 million than the majority of what would be remaining would be the potential conversion of the preferred shares, which should be about another 40 million. So I would look at it about 100 million fully diluted.
David Fischel: Each of those were conservative a little bit overstate. So I think, it’s about 97 million or 96 million on a fully diluted, including all options, warrants, common shares, preferred shares.
Paul Nouri: Okay, great. Thank you.
Operator: And moving on our next question comes from Andrew Jay from [indiscernible] Health Investors.
Unidentified Analyst: Yes. We’re talking a lot about ventricular tachycardia. Can you – and the data from your 779 patient meta-analysis showing that using the Niobe ablation gets superior results that are clinically superior. Can you just remind us of the size of the opportunity and how you’re progressing – how you see yourself convert – I imagine part of the growth strategy is converting some of those – payload patients from medical management to use of ablation. How – kind of can you just talk a little bit about that opportunity and how – what are you doing to affect that?
David Fischel: Sure. So you’re right. There’s a – that’s a good question. Data, even sometime simple data is not always easiest to find. And – but let me take a shot at that. There seems to be about 85 or so thousand VT kind of ventricular cardiac ablation procedures performed annually, of which obviously the vast majority of those are performed manually. The larger opportunity is exactly, as you defined, which is – there’s a wide, wide group of patients out there that has ventricular arrhythmias that are not being treated at all, because the difficulty of performing those procedures is high. And so most physicians do not perform the procedures and most performing physicians might not even know that cardiac ablation is a suitable option for those patients. In – for example, PVCs, premature ventricular contractions, there should be millions of those patients out there. The cardiac ablation procedure to treat the condition is fairly easy procedure, if you know – if you’re able to reach the right spot in the ventricle. And so, it’s one where we’ve seen a few sites grow very successful processes by focusing on that, but most physicians just don’t perform the procedures, because it’s technically difficult to move a catheter into those areas of the ventricle and to hold the catheter stable on the papillary muscles. If you look at kind of something like the VT training event that happened a month ago that I just touched upon in the last question, a large reason why many of the attendees attended that training event was, because they wanted to learn how to do ventricular procedures and how to grow their practices on the ventricular side. Most of those attendees have very robust practices focused on atrial fibrillation. But they did want to learn how to become more, both technically savvy in catheter navigation using magnetic robotics and also savvy in how to treat arrhythmias in the ventricle. And so events like that help grow the overall market for cardiac ablation in the ventricle. And through kind of that gradual like grinding away and physician-by-physician effort, we think we can grow it and that’s also where some of the other commercial initiatives come into play like material that help physicians speak to their referral physician help speak directly to patients and that becomes kind of a holistic strategy on how to grow the therapy.
Unidentified Analyst: One other question on a slightly different topic, thank you for that answer. In the release on the warrant exercise, you mentioned the potential re-listing on the NASDAQ. Do you have a timeline for that, and what’s your thoughts on moving that forward?
David Fischel: Sure. So let me give you kind of some thoughts on the topic. We definitely do want Stereotaxis to become a part again of the broader public company community. And I think that’s important. I think, it’s good for the – for shareholders. I think, it’s good for the company and we’re exciting enough of a company from a technology perspective and from a business perspective that we should be a part of the normal community of medical device companies. One of the big barriers to uplifting was the fact that we had a very significant – it’s really an accounting topic, it’s not a liability, in my mind, from any fundamental perspective, but from an accounting perspective, those counted as liability from the warrants that were outstanding. And part of the reason why we settled on this type of transaction was to remove the warrant liability entirely. That allows us to have an owner’s equity, which is about enough to allow us to uplift to NASDAQ as the other big barrier is obviously the stock price. I like to avoid reverse splits and so my preference is not to do a reverse split. We might seek at least Board authorization in order to do a reverse split at the next shareholder meeting, and so you might see that in the shareholder materials. But again, that’s something that if we seek it, it would be as kind of a broader authorization to do it at some point in the future that’s not something that we necessarily want to pull the trigger on right away. And we’ll think about when is the best point to up list on NASDAQ. Overall, again, I prefer to be on NASDAQ. I prefer to work towards that, as you see, we’re trying to make sure we do the right steps such that we can do so. But I also don’t want to rush it artificially, I want to make sure it’s done from a position of strength.
Unidentified Analyst: Thank you.
Operator: We’ll go next to [John Morganelli] [ph] a private investor.
Unidentified Analyst: Good morning. Thank you for taking my question. First of all I want to compliment David for the work he has done over the last year, I think, it’s certainly moving in the right direction from where we were. Obviously, as an investor, I’m very concerned about sales of systems, because it seems to me that that’s the future of revenue that’s going to grow this company. And I understand the strategy that’s been outlined not only today, but the last call. But I’m concerned about the stock price and also this reverse split. Shareholders like myself long-term have gone killed because of these ongoings that have occurred in the previous leadership, and I’m glad David say that. My question is, what is your strategy moving forward about, how do we go about selling this great product, which we all agree is great, as you described it? And in the short-term, is there anything being done by getting more investors that would raise the price for this stock because of people investing in the company?
David Fischel: Yes. Those are two very good questions and thank you for the comments, John. So let me focus first on the system side and then maybe on the stock side. On the system side, it is a good question. Again, it was asked, I think, on the last call or the call before that as well, why are we not selling more systems? It is definitely not because of a lack of opportunity. I – there are several hundred EP labs being renovated each year. It represents an opportunity for adoption of our technology and given the robust sales of other robots in urology and gynecology and general surgery by Intuitive Surgical and Stryker and the overall attractive clinical value that we provide and the revenue that EP’s generate to the hospitals versus some of those other specialties, I don’t believe that the opportunity is our problem. So the challenges are a few fold. Some of it is that we’re just small and we have very small market share and we have a small sales force. And overall, we’re trying to orient the sales force towards focusing on procedures and focusing on the initiatives that I described earlier, which are really trying to make sure we have successful practices, because that’s the nice way to grow over the long-term rather than trying to focus on system sales and then not having those capabilities and processes in place and running into the same issues Stereotaxis faced many years ago when it had great growth in sales to many systems sales. But ultimately, that was a liability rather than a benefit if those system ultimately were not used. The other thing kind of to note and I mentioned it also, I think, on one of the last calls is that right now we’re lacking a replacement cycle of sales. Every capital equipment company, I know, has a replacement cycle, given our active installed base you would think we should have about and the useful life typically of about 10 years for every lab. You would think that we should be selling 10-plus systems a year just from a replacement cycle the fact that that doesn’t exist is obviously not right. But I think we haven’t put in place the right framework for that type of replacement cycle to take place. That’s not something that’s being ignored, but again, there’s a little bit of work on our side to do in order to make sure the environment is right for that. And the final set of points, and I think these are really kind of fundamental issues that we’re trying to address is that, we have many physicians who are excited about adopting robotics and I see it regularly. So I’m very confident that we have physicians at various hospitals that would very much like to have our system. But there are concerns that also physicians and more often hospital administrators raise and those have to do with things like the fact that we have overall – we had prior to this financing relatively low balance sheet, cash levels, the fact that we are a penny stock that were not listed on NASDAQ. And I think most importantly, the fact that they haven’t seen true innovation from Stereotaxis on a lot of the core technologies for many years. And before purchasing a system for a $1.5-plus, they want to see that there’s a clear innovation plan and that there’s kind of a guarantee that we’re going to be around and are going to be committed to innovation for the long-term. And so I think that from my vantage point ensuring that we progress sufficiently far on the innovation projects, such as it becomes publicly evident to everyone how that plan looks like. And so that there is comfort for physicians and hospitals that that plan is clinically sound and clinically elegant and financially sound that is really kind of my primary focus this year. And I think, we can advance that plan without really increasing the burn rate in a meaningful way. As I mentioned, the burn rate over the last few quarters was not – did not reflect any cash from system sales. I think, we’re managing the company in a relatively disciplined fashion and we have the ability to do significant innovation with – it will require some incremental capital, but not kind of amounts that are outside of our capabilities. And so I think, we can advance that. And I think, that that’s really, in my mind, the primary gain factor to more system sales. If I kind of – if I…
Unidentified Analyst: Sure.
David Fischel: Do you want me to pivot to the second part of your question?
Unidentified Analyst: Yes, yes, thank you.
David Fischel: Sure. So on the stock side, I – whenever the opportunity presents itself to speak with investors, I look forward to doing that. And I was grateful that in the fourth quarter, we’re going to speak at the Piper Jaffray Healthcare Conference. I – that would be Micro LD Conference. I was just invited to give a webcast actually tomorrow afternoon. So they have a virtual LD Micro Conference, I’ll be speaking there. Given the last-minute nature, I didn’t have the opportunity to put it out in the press release. I apologize. And so when opportunity present itself, I look forward to speaking with potential investors and I look forward to creating the environment what’s more easy to invest in Stereotaxis. But again, that’s a gradual process and I don’t have any quick fix solutions. All I can say is that by day-in, day-out, trying to make the right decisions, trying to be available, trying to be responsive, and trying to make sure, most importantly, that the fundamental business improves the way it should. I expect that we will see incremental demand in interest over time.
Unidentified Analyst: And one last comment, Dave, I hope you stay with us for a while.
David Fischel: Thank you. I’m committed that I can guarantee you.
Unidentified Analyst: Okay, great.
David Fischel: Thank you.
Operator: [Operator Instructions] We’ll go next to Andrew Ghezzi from Investwerx.
Andrew Ghezzi: Good morning, David. How are you.
David Fischel: Hi. Good morning, Andrew.
Andrew Ghezzi: Just a quick question, probably two parts here. One is that, there was an event that you posted it on Twitter regarding remote procedure where the Professor on EP, I think, Professor over in Dubai performs surgery remotely on a patient in Finland. Could you give us some more color on the purpose of that? I know, there’s a lot of marketing behind it. It looks like it was a great effort, it was well attended. But is that something that you see down the road, where physicians are going to access into the system remotely?
David Fischel: So that is – I’m glad you brought that up. That was a very fun event. And so I’ll try to share some of my thoughts here. First of all, you’re right about the event. A Finnish physician was attending Electrophysiology Conference in Dubai, while seated in Dubai and working off of a laptop, he was able to treat a patient who was at his hospital in Finland and he was able to navigate the catheter remotely. And that is obviously, it’s kind of magic when you step back and actually think about it, it’s magic and it is exciting kind of to see that take place. Now to be honest, Stereotaxis has that capability for many years. I believe it’s Professor Pappone from Milan even 10 years ago or so did several of these cases and across the Atlantic Ocean and so the capability exists. We are – we’re experimenting with the capability. I know that there are several physicians who are excited about it and have brought it up as something that would be exciting for them to do. Outside of the kind of showmanship of it though, there are probably a few practical applications that we’re actually seriously kind of thinking about. So it’s nice to do these things for fun. But you want to also know what could be real valuable usage of a capability like this on a regular basis over the coming years. And kind of the two that I would say right now kind of are on my mind. One is, as you know, we actually have the ability to provide remote clinical support. So we have a few individuals in St. Louis, who are able to remotely view and provide guidance to physicians, both the technical guidance and clinical guidance, as they do their case. And again, this is possible, because all of the procedure information in a robotic procedure is consolidated and presented on to one screen. And so we can see exactly everything that the physician is seeing during the procedure. And there are many cases, where physicians at different hospitals are collaborating with each other, and electrophysiology is a very cognitive kind of surgery for better wording. It’s a very cognitive procedure, where you’re trying to consolidate a lot of information and you’re trying to actually determine how do you treat the patient, where should you ablate in order to stop the arrhythmia. So we’ve had kind of cases of physicians who – while they might not on a regular basis ever want to take and perhaps regulatory or liability purpose, they won’t want ever have control over a catheter remotely, but they would like to be able to share their screen and share their procedure in real-time with other physicians and get that type of mentorship and ability to ask questions and to perform a procedure kind of with the guidance of maybe a physician that they respect and trust. And so I could see that by implementing a more robust IT structure for that we could make that a reality, and that would be useful and there are several physicians that I know would find use from that. And then the other is, I’ve heard, let’s say, in geographies like China, there oftentimes the leading electrophysiologist in the large cities oftentimes travel over the weekends to smaller cities – by smaller cities, they usually still have many millions of people in China, but they will travel to the smaller cities over the weekends to do and many procedures and it’s a fairly taxing lifestyle yet that’s kind of what they’re expected to do. And so perhaps there’s an opportunity, where – and this is probably something that won’t be pushed forward first in the states, it’s probably more likely to be pushed forward in other geographies. But where you actually make remote surgery, a normal part of a practice and perhaps even a hospital purchases a system primarily for that type of capability. But again, I think we’re kind of in the early stages of that. We’re both having fun, trying to show physicians what’s possible and what’s kind of – what’s very much said, very much we’re able to do what the technology doesn’t enable them to do and trying to think through how to build a more robust IT structure. So that maybe this can become something that’s not a one off event, but can be a real part of the value that we provide.
Andrew Ghezzi: Very good. Thanks. And then the second part of the question regarding your cash position right now is looking as stable as it has been in a very long time. As you look at the product innovation plan, how does the $10 million play into that? Are you looking at specific small acquisitions maybe on the mapping side, or do you see the proceeds being more used internally for programs that are already in place and just further building them out?
David Fischel: So our product innovation plan doesn’t have any acquisitions in it. I think there are probably attractive ways to partner with other companies to gain access to other technologies in our space without that. But again, I’ll always be open to ideas just because we have a robust balance sheet doesn’t mean that we’re going to change the way we run our operations suddenly. I view this like we put in the press release, this is the balance sheet that enables us to get to profitability and to execute on all of our innovation plans. And so I think, you’ll see that we’ll continue to manage our expenses in a careful thoughtful way. There will be some increases in spending, I know, from these innovation initiatives, but kind of we – it’s not shooting shotgun with kind of paper I mean – I would there’s kind of very specific things we want to invest in. I think, we’re able to measure the ROI of these types of investments and what that should change, both financially for the company, but also importantly, for patients and for physicians and for hospitals. And so we will advance on those and you’ll see the gradual creep in R&D expense growing. But again, we don’t view this as suddenly a windfall of cash that we’re looking to spend suddenly.
Andrew Ghezzi: Okay.
David Fischel: This should carry us for years and should allow us to again to execute on those initiatives. With executing on those initiatives, I expect a good sales growth and we have an organization that is a robust, built-out organization in many ways. So I don’t expect that again, as we grow sales, I expect that we’d become a profitable company.
Andrew Ghezzi: Great. And then just one follow-up quick question here. You had mentioned in the past initiatives to automate the process of guiding these catheters using algorithms or whatnot. So coming through the veins and getting to the heart area than just having a physician kind of nab between few points then having the system itself ablate in certain areas. Can you just give some color on the progress towards that, or anything else regarding automation of the system?
David Fischel: Sure. So a little bit of a correction, you’re right entirely about automation being one of the more exciting things we’re working on the R&D side. And when I mentioned the five core technologies that are used in robotic cardiac ablation procedure, one of them was a navigation software and the most exciting thing taking place there is the path towards automation. And the one correction versus your statement is that, our system would never actually provide ablation. Our system would allow autonomous navigation of the catheter along a predefined path that the physician places the physician would still be doing the ablation.
Andrew Ghezzi: Okay.
David Fischel: I think that they would not have to worry anymore about the movement of the catheter along the path, they could define exactly, which path they want the catheter to move and it would do so. And we do actually have, in our system, right now automation software, and it actually works. So I can showcases, where in live patients at independent hospitals, they’ve used automation software and it works. What it is not though is not yet reliable, reproducible and rapid automation. And so it’s not being used on a regular basis by our physicians, because it’s not reliable yet. And I think that the primary challenge of making it more reliable is increasing the amount of data we get in the procedure case. What I like into is, I believe that we are like the Tesla industry. But if you have a Tesla that has automation software in it, and that automation software can turn the steering wheel and press the gas pedal and press the brake pedal and it uses the GPS for guidance, that will work really well if the GPS is perfect. But if the GPS is a little bit off, it’s the kind of the math that’s provided to it is a little bit off than the car can have accidents and can miss turns and can do all sorts of things that it shouldn’t do. We don’t get full perfect mapping information. And so we – so because of that, we’re limited in what we can do. Tesla car obviously accommodates for that by having cameras and having all sorts of sensors on the car itself to look for lines on the street who look for stop signs and red light and measure it’s wet on the windshield, to note the slowdown when it does a turn. We don’t have any of those sensors really built in. And so, even though by getting better data from mapping systems or by gradually building in those data feeds, that would be the thing that I think ultimately, allows us to have rapidly reproducible, reliable automation.
Andrew Ghezzi: Great. Thanks a lot.
David Fischel: Thank you, Andrew.
Operator: And we’ll take another question and that comes from [Ronald Davis] [ph], a private investor.
Unidentified Analyst: Hello, David, how are you?
David Fischel: Good. Good morning.
Unidentified Analyst: Great. I think you’re doing a terrific job in which you’ve done so far. I came in late into the conversation that about the time where you said you were contemplating getting relisted on the NASDAQ to acquire more interest and to – in order to do that you were thinking about a possible reverse split at some point. I’ve been involved with a number of companies who’ve done reverse splits and who got under the NASDAQ as a result, ultimately, nothing happened to stockings back down and the only people that are affected are the existing current public stockholders. Frankly, if you can’t get the stock on to NASDAQ by creating interest in the stock with insignificant current float, you’re not going to keep it up there with even less float, because it’ll be less interested from any kind of institution or for that matter even the public. Your current activity, you’re trading 30,00 shares a day, that’s nothing in the real dollar value, what makes you think that if the stock were reverse split, let’s say, 4 for 1 and it goes to $2, there’s zero float, who is going to buy it. The only benefit to reverse split is a temporary listing and then stock will come right back down as 90% the reverse splits do, they return to their low level. There’s no liquidity and you’ll never have any interest from the public. I say it absolutely no benefit to reverse split and there is no difficulty in buying the stock today. It will be twice as difficult with half as many shares, or with 25% as many shares in the hands of the public. So I guess, I can go out and I have accumulated personally, let’s say, 125,000 shares in the open market with no difficulty over a period of a couple months. There’s – anybody that’s interested in the stock can buy it, where it’s trading. The NASDAQ listing is an insignificant value with only – there’s only one benefit to any stockholder net increase in sales and earnings. I don’t care how few you have out and where you’re listed, it’s meaningless, that’s just my personal opinion.
David Fischel: I very much appreciate that commentary. And just to be very clear, I mentioned that I also averse typically to reverse stock split that’s not at all in the plan. If we seek it in the annual shareholder vote, again, it will – it does not reflect anything being imminent, it’s just good to have the flexibility in case for some point in the future, it makes sense. But I completely agree with you. And I hope we can get to NASDAQ without having to do anything like that. The one point that I would just bring up about NASDAQ and reverse stock split that perhaps has some validity and is just different than I don’t – typically, I view the same thing, I’ve spent my entire life in kind of similar shoes as you on the buy-side investing in companies, I don’t view it as a real difference, whether the company is on NASDAQ are not. Sometimes it feels like physicians or hospitals are not as financially aware that $5 stock versus a $0.50 stock – or a $50 stock are really the same thing and the only thing that matters is the market cap and enterprise value, sometimes kind of there’s a perception difference there. There’s also a perception difference sometimes to being on NASDAQ or not. And so there might be some fundamental benefits that are accrued to the base business like you say and really that’s the core and that’s what I spent 95% of my time on is on the base business. There might be sometimes some fundamental benefits that accrue from having a stock that is not a penny stock and is listed on NASDAQ. But again, that’s not anything in our near-term plans and that’s why also I don’t want to commit to people that we’re going to be on NASDAQ imminently, because then – because I think, it’s better to make sure we do it from a position of strength and not just kind of rushing into things.
Unidentified Analyst: Look, I can only tell you this. You can reverse split it, but you’ll be back down to $0.75 within six months and off NASDAQ again. You’ll have no float in the hands of the public to have no activity. Currently, somebody spends $25,000 a day, where there’s no volume and there’s no interest and that we no way to generate interest which happens to make or one quarter or too much float, because there’s not float right now?
David Fischel: Ronald, you’re completely right. The way we’re going to generate interest is by following through on our commercial and innovation initiatives and building a great growing company, that’s the way we’re going to do.
Unidentified Analyst: I 100% agree with you. And I certainly hope that you can recognize kind of with a limited number of almost no stock in the hands of public based on a reverse split. There’ll be zero interest from anybody of any significance, because it can’t get in and it can’t get out. I’m sorry if I’d be the negative guy in the conversation, because I think you’re doing a terrific job in management. But I think that philosophy is totally detrimental to not only the current stockholders, but to the company itself.
David Fischel: Yes, thank you. I appreciate that.
Unidentified Analyst: Okay. Thank you for your time.
David Fischel: Thank you.
David Fischel: Operator, is there anyone else in the queue?
Operator: I have no further questions. I’ll turn it back to Mr. Fischel.
David Fischel: Okay. So thank you, everyone, for your good questions and for your feedback. I do appreciate it that you take the time to listen to this call. And I do appreciate your continued support. We look forward to working hard on your behalf over the coming months and speaking again at our next quarterly call. Have a great afternoon. Bye.
Operator: And that does conclude our conference today. Thank you for your participation. You may now disconnect.